Operator: Good morning. My name is Vanessa, and I will be your conference operator today. At this time, I would like to welcome everyone to the Lindsay Corporation Fourth Quarter 2014 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. (Operator Instructions) During this call, management may make forward-looking statements that are subject to risks and uncertainties, which reflect management's current beliefs and estimates of future economic circumstances, industry conditions, company performance and financial results. Forward-looking statements include the information concerning possible or assumed future results of operations of the company and those statements preceded by, followed by or including the words, expectation, outlook, could, may, should or similar expressions. For these statements, we claim the protection of the Safe Harbor for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. I would now like to turn the call over to Mr. Rick Parod, President and Chief Executive Officer. Please, go ahead sir.
Rick Parod: Good morning and thank you for joining us today. With me on today's call is Jim Raabe, Lindsay Corporation's Chief Financial Officer, and Lori Zarkowski, our Chief Accounting Officer. Total revenues for the fourth quarter of fiscal 2014 were $147.5 million, slightly less than the record $148.4 million in revenue in the same quarter last year. Both irrigation and infrastructure revenues were in line with the same quarter of last year. Operating margins increased to 11% in the quarter, compared to 10.6% in the same quarter last year primarily due to an improvement in gross margins related to sales mix. Net earnings were $11.3 million or $0.89 per diluted share, compared with $10.4 million or $0.81 per diluted share in the prior year quarter. Total revenues for fiscal 2014 were $617.9 million, decreasing 11% from the same period last year. Net earnings were $51.5 million or $4 per diluted share as compared to $70.6 million or $5.47 per diluted share in the prior year. For the irrigation segment in total, sales were $125.8 million in the quarter, 2% lower than the same quarter of last year. Irrigation operating margins increased to 14.9% of sales from 14.5% of sales last year, due to a higher mix of U.S. sales. In the U.S. irrigation market, revenues were $70.7 million for the fourth quarter increasing 31% over the same period of last year, primarily due to replacement of machine revenue driven by spring and summer storms. The severe storms across the Midwest resulted in incremental revenue approximately $15 million to $20 million higher in the quarter than normal. The higher revenue in the quarter also included Lakos filtration products, the business acquired late last year. Excluding the storm damage revenue and Lakos U.S. irrigation sales declined in the fourth quarter by approximately 14%. Corn prices continued to decline during the quarter, on indication of strong yields in the current growing season, and a significant increase in ending stocks of corn. The lower agricultural commodity prices continued the downward pressure on irrigation equipment demand in the U.S. In addition, in August the USDA forecasted 2014 net farm income to be 16% below 2013, which is still above the 10-year average. At this point, U.S. irrigation revenue for fiscal 2015 remains very difficult to predict although there is a significant increase projected in the stocks used ratios for corn, the recent decrease in crop prices and abnormal storm damage revenue at fiscal 2014 have created challenging comparative conditions for fiscal 2015 in U.S. market. In the international irrigation market, revenues for the fourth quarter were $55.1 million decreasing 26% over the same quarter of last year. Comparatively revenues decreased $17.4 million from the Iraq contract revenues included in the fourth quarter of fiscal 2013. This accounted for more than 90% of the decrease in the quarter from the same time last year. Decreases in other regions were offset by the inclusion of international revenue from Lakos. For the full year of fiscal 2014 total irrigation segment revenues decreased 14% to $539.9 million. U.S. irrigation market revenues also declined by 14% from the previous year driven by declining crop prices and the lessening of drought conditions in the corn belt. Excluding Lakos and incremental irrigation sales associated with the abnormal storm damage in the Midwest, U.S. irrigation sales declined by approximately 26%. Sales in the international irrigation markets decreased 13% from the previous year primarily due to the Iraq contract revenues included in fiscal 2013. Operating margins for the irrigation segment were 17% in 2014 compared to 20% last year primarily due to cost deleverage on lower sales. Infrastructure segment revenues were $21.7 million in the quarter, increasing 7% from the same quarter last year. The infrastructure segment generated operating income of $2.1 million in the quarter compared to 2.4 million in the fourth quarter last year due to lower sales of Road Zipper systems. For the full year of fiscal 2014 infrastructure revenues increased 20% to $78 million with significant increases of road safety products and rail products. For the year operating income was $3.5 million compared to $800,000 loss last year driven by the higher volume. We’ve made significant progress in infrastructure profitability in 2014 through revenue increases and managing expenses. We expect to see further improvement in profitability in 2015 which will include revenue from the Golden Gate Bridge project currently scheduled for the second fiscal quarter of 2015. The U.S. highway bill signed in August only provides funding for 10 months creating future funding uncertainty for road safety product revenues. In spite of government spending uncertainty, we believe we can continue to capitalize on the progress we made in 2014 in the infrastructure segment including market share increases in key product categories, margin improvements through manufacturing efficiencies and expense management. Gross profit in the fourth quarter was $39.9 million or 27.1% of sales versus $38.6 million or 26% of sales in the same quarter last year. Gross margins in irrigation increased by nearly two percentage points primarily due to a change in sales mix. Infrastructure gross margins declined by approximately three percentage points primarily due to lower Road Zipper system sales. Operating expenses in the fourth quarter increased to $23.7 million from $22.8 million in the prior year period. Excluding the acquired Lakos filtration business, operating expenses decreased by $1.1 million in the quarter. Operating expenses with Lakos increased to 16.1% of sales for the quarter compared to 15.3% of sales in the same period last year. The order backlog on August 31, 2014, was $79.6 million, compared to $66.5 million on August 31, 2013. Backlog at the end of fiscal 2014 includes $12.7 million order for the Zipper system project on the Golden Gate Bridge, which we expect to recognize in revenues in fiscal 2015. In addition backlog includes $2.6 million remaining from the Iraq contract, which is currently on hold as a result of security concerns in the region. Year-over-year U.S. and international irrigation backlogs have decreased reflecting the change of the agricultural market conditions while infrastructure backlog has increased. Our backlog typically represent some long-term irrigation and infrastructure projects as well as short lead time orders and therefore as I’ve indicated in past quarters, backlog is generally not a good indication of future quarters revenues. Cash and cash equivalents were $172 million at the end of the fiscal year and were $20 million higher than the same time last year. Accounts receivable were $26 million lower year-over-year, due primarily to collections on the Iraq contract. During fiscal 2014 we began executing against our capital allocation plan announced in January, including a doubling of the dividend at that time. In fiscal 2014, we paid out $11.7 million of dividends and had capital expenditures increase to $17.7 million. We repurchased 498,000 shares for $41 million during the fiscal year, including $23.3 million in repurchases in the fourth quarter. In summary, fiscal 2014 reflected a transition from the bullish agricultural irrigation market conditions we experienced in the past few years through a contracting market due to improved crop production conditions in the U.S. While the market contracted fueled by declining corn prices, the abnormally high equipment sales resulting from storms in the mid-west, softened the negative impact in the past two quarters. Due to the superb responsiveness of our Nebraska factory, and the entire irrigation team, we were able to quickly respond to the urgent needs of our customers and dealers and provide the equipment needed in the peak of the growing season. Looking forward, we expect that irrigation sales will be affected again in 2015 by the lower crop prices, the projected reductions in farm income, as well as, political instability in various regions of the world. However, the expense in the duration of the current cyclical downturn is very difficult to predict. Our team is confident that our investments and competitively advantage products and services will continue to position us well now, and as agricultural market conditions improve. Today, we have a leadership position with our irrigation management platform FieldNET, which we intend to defend and expand. We offer the most comprehensive packages of high quality irrigation solutions for growers in the industry, which we will continue to build the leverage. For the infrastructure business, we made significant progress this year and returning to profitability with sales growth and margin improvement. We believe we can continue this progress in 2015 with further growth in margin gains despite the lack of long-term U.S highway funding clarity. Finally, the strength of our balance sheet will allow us to continue to invest in creating incremental returns for shareholders thorough investments in growth opportunities both organic and through acquisitions, increasing dividends and share repurchases. I would now like to open it up for your questions.
Operator: (Operator Instructions) Your first question comes from the line of Brett Wong from Piper Jaffray. One moment please, for your first question.
Brett Wong - Piper Jaffray: Hello.
Rick Parod: Yes, good morning.
Brett Wong - Piper Jaffray: Hi, good morning. How are you? Thanks for taking my questions. Just first wanted to dig into the backlog. I was wondering, the decline in the irrigation backlog, are you seeing a more pronounced decline in either domestic or irrigation or international orders?
Rick Parod: No. The decline in the backlog is pretty similar in both of those regions.
Brett Wong - Piper Jaffray: Okay. And then just kind of going along with international irrigation is, do you have any improved visibility into projects there? I know there's been some softness, just given the lower grain price backdrop. Just wondering if you're seeing anything incrementally better there?
Rick Parod: Regarding the international markets?
Brett Wong - Piper Jaffray: Yes, yes, just seeing if any visibility has improved.
Rick Parod: We’re not seeing much more improved visibility. I would describe it more as -- we continue to see a lot of activity. There’s a lot of request for information quotes. We’re seeing a continued agricultural investment with some of the larger investors in the international market. We’ve seen a little bit of slowing in certainly in Russia and Ukraine, that’s definitely been little more troubling in the past number of months, probably past four months. But, right now we’ve seen -- I’d say the markets have been fairly stable in terms of kind of activity that we’re seeing. And I would caution on the backlog in terms of -- usually looking at our backlog at any period of time isn’t that reflective, but certainly at the end of the fourth quarter, we usually don’t have much of a backlog and seeing a little bit of a change in either domestic or international, doesn’t really concern me much at this point, because it really isn’t much of an indication, this isn’t the season typically when people are buying.
Brett Wong - Piper Jaffray: Right, okay. That makes sense. But within the backlog, are there any other storm replacement units in there? Should we expect any impact in the first quarter?
Rick Parod: No, basically those are out. Not aware of anything in storm related, I think those were all cleared thorough in the fourth quarter.
Brett Wong - Piper Jaffray: Okay. And one last one from me, you provided some commentary around expectations for continued growth for the Infrastructure segment. I was wondering if you can talk to -- a little bit more on why you have that confidence given the uncertainty around the highway bill.
Rick Parod: I think the primary reason for the confidence there is, I’ve seen changes in terms of our approach from a selling standpoint and I would tell you that our team is aggressive out in the market. We’re developing some new products. We’re developing more contacts. We’re getting our road safety products qualified or certified in more of the states than we’ve had in the past. So, it’s a very aggressive approach to getting good coverage in the market for particularly road safety products, but, I would say really all of the infrastructure products in total. So, we’ve seen some good progress there and we have some large market share opportunities over time, meaning we have still relatively small share in some of the product categories that presents a good opportunity for us.
Brett Wong - Piper Jaffray: Okay. And just one last -- and then just around the infrastructure, have you seen any softness here recently at all or everything has been going as you’ve seen through the whole year?
Rick Parod: It’s been pretty statistical. I would say that we will start to see a little more softness now because we’re getting through the end of the season for some of the infrastructure products to be installed particularly in the road work stuff but, generally it’s been pretty solid. I think we’ve also seen increase in the interest in some of our products, for example our in terminals due to problems that other competitors have had in various ways. So, we see some opportunities and we think there are definitely opportunities to grow.
Brett Wong - Piper Jaffray: Thanks. Thanks a lot. Appreciate it.
Rick Parod: Thank you.
Operator: Your next question comes from the line of Schon Williams from BB&T Capital Markets
Schon Williams - BB&T Capital Markets: Hi, good morning.
Rick Parod: Good morning.
Schon Williams - BB&T Capital Markets: Just, briefly on the storm related projects. The $15 million to $20 million, is that what you were expecting coming out of last quarter? Or was there -- and you had certainly mentioned it on the call but I wasn’t expecting something to this extent, I am just wondering, did that continue thorough the summer or was this kind of what you were expecting coming out of the last quarter?
Rick Parod: Was in process at the time last quarter, were we saw the orders coming in, but not to the level that it ended up at. So, yeah, I think -- the first statement to say that it was not – it was more than what we expected.
Schon Williams - BB&T Capital Markets: And what could we -- what would one expect around the margins around those projects? I would assume that it’s more kind of like an emergency order where you got to get it through the system as quick as possible, do you tend to get a little bit better pricing on a system like that versus a traditional system?
Rick Parod: There’s really very little pricing difference between what was supplied in the say storm damage systems versus other replacement or other systems that we sell. I think one area where we do see a little bit of a difference in terms of the mix in the quarter would be where we typically would have in any quarter a mix of one-off type machines, the machine sold to a grower or two machine sold to a local grower and the mix of some larger projects that could be more competitive bid or could be five machines or 20 machines. We probably had a larger composition of the one off type sales to those growers, which were really replacement machines. But I wouldn’t say that they were at higher price points necessarily than other machines, it was more a factor of the mix because of what so much higher than typical in that quarter.
Schon Williams - BB&T Capital Markets: All right, that’s helpful. And then, just turning to the international side, I wonder if you could give us an update on where the Turkey plant is right now. I notice that the CapEx actually came in a bit more than where you guided. I was wondering if that may be related to Turkey and then if you could kind of just -- keeping with the international focus if you could you comment on what you’re seeing out of South Africa – I am sorry, South America, I’ll get back in the queue after that. Thanks.
Rick Parod: Well, first let me comment on the Turkey facility, and the CapEx was primarily not related to the Turkey facility at this time, it was related to some other things which Jim can talk about in a second. But, as far as the Turkey facility itself it’s progressing on track and I commented last quarter that I would expect it would be operational around the first of the calendar year and that is still the plan. So that’s still progressing well. As far as the other international markets I'd say that, what we saw in the quarter was nothing really surprising or significant differences any of them including South America, I think there are some changes that we would expect once the elections are resolved and we see more free-up of funding particularly [indiscernible] in the region. But in general I would say that, there was no major changes in any of the regions. The only one that has surprised me a little as we’ve continued to see inquiries and work on projects to some extent in Russia. And I think that remains to be seen what happens there, but definitely we've seen a little more concern over funding availability in Russia for projects. That’s kind of the general overview from the international synopsis and Jim, if you want to talk about the CapEx in the last quarter?
Jim Raabe: Sure. On the CapEx for the quarter as we mentioned last quarter, we had lowered our estimate because we had seen some delays in projects and we were able to complete the acquisition of our Brazil facility in the quarter. We thought it might slip into the first quarter but basically that -- it’s the acquisition of the facility that we had been leasing. We acquired it basically to improve our flexibility around adding capacity, productivity and vertical integration in that facility as well. So, we did end up with a little bit more than what we had originally expected.
Schon Williams - BB&T Capital Markets: All right. Thanks guys.
Rick Parod: Thank you.
Operator: Your next question comes from the line of Nathan Jones from Stifel.
Unidentified Analyst: Jim and Lori, this is actually Jesse [indiscernible] calling on behalf of Nathan today.
Lori Zarkowski: Good morning.
Unidentified Analyst: Good morning. So our checks indicated that neither you and nor your competitors have been cutting price in the market. Can you talk about the dynamics in the industry that allow such rational behavior in this pretty acute downturn and whether you expect your competitors to remain rational?
Lori Zarkowski: Let's say that the competitor intensity really didn’t change much from the third to the fourth quarter. However, at the end of the quarter we are hearing some from our dealers that intensity was increasing a bit and that one of the competitors was discussing some pricing changes. In the past cycles we’ve typically seen selling margins decreased from peak to trough levels. And it could be anywhere from three to five percentage points. So it wouldn’t surprise us if the competitive intensity increases and it does affect margins at some point in the process. However, our adoption of lean in the Nebraska irrigation facility is very strong. We've demonstrated ability to ramp up and down with volume levels. It does become challenging as volume decreases but we’ve been able to minimize the deleverage effect on those – when that does happen. I would say, we’re in a good competitive position if that were to take place and we’d have see some certainly price reductions, but we really haven’t seen much in terms of that kind of intensity to-date.
Unidentified Analyst: Great. One more question for you guys. So you talked about earlier how you communicated the $100 million to $150 million of share repurchase and executed on $41.1 in 2014. How do you view accelerating or increasing that given your current market conditions, negative sentiment on Ag in general and how do you approach the decision between M&A and share repurchase going forward?
Jim Raabe: This is Jim, and I think the -- share repurchase program and as we've executed I think it is indicative of how we think about it. We have said that we were committed to it and we were going to be in the market regularly and that we were also going to be opportunistic in how we approach it and as the prices have declined as you can see we’ve been a little bit more active. We do have -- we do put a 10b5-1 program into place before the end of the quarter that allows us to continue purchasing. But also allows for an increase or decrease in purchases depending on what happens to the price. So we absolutely are committed to continuing to execute against that in a way that we think we’ll provide a good return to shareholders overall.
Rick Parod: Well, I think in terms of the second half of that of how we look at it versus acquisition I’d say that, one, we’ve defined what we’re going to do from a share repurchase standpoint. We definitely look at return on investment say from acquisitions and share repurchase together to look at one versus the other. But at the same time, we have looked at the share repurchases let’s say as a primary use of the excess cash at this point and we would consider debt for example for acquisitions as needed. So we are still aggressive in terms of looking for acquisitions but we don’t believe that we are restricted in any way on that by what we’re doing from a share repurchase standpoint.
Unidentified Analyst: Got you. All right, well, thank you so much for your time today.
Rick Parod: Thank you.
Operator: Your next question comes from the line of Brian Drab from William Blair.
Brian Drab - William Blair: Hi Rick. Hi Jim.
Rick Parod: Good morning.
Jim Raabe: Good morning.
Brian Drab - William Blair: I don’t know if you said already, but can you tell us how much Lakos contributed in the fourth quarter?
Jim Raabe: Yes, Lakos for the year was roughly $27 million, $28 million in revenue and the amount in the quarter was roughly about $8 billion. So it’s a little less seasonal than the rest of our business although it does have some seasonality within each one of its business. It's pretty consistent with kind of what we expected when we acquired it.
Brian Drab - William Blair: Great. Okay. And then have you said it would -- the expectation is for CapEx for the next fiscal year?
Jim Raabe: Yes. This it's Jim again and our expectation is in that $20 million to $25 million range we continue to work towards the capacity and other investments from that same point.
Brian Drab - William Blair: Okay. Thanks. And then the Golden Gate Bridge project, well firstly of all you said, second quarter '15, so that's your fiscal second quarter '15, right, and can you talk about what that means in terms of when revenues will be recognizing -- it likely won't all be in the second quarter right?
Jim Raabe: It would likely all be in the second quarter. It will be a fairly concentrated time frame for when that is recognized.
Brian Drab - William Blair: And that’s still…
Rick Parod: And the caution we would add to that is that we're not in control of the project entirely. Obviously the Golden Gate Bridge authority and others are. So that’s our timing, but right now that project is on schedule, but that's -- so that's how we would expect it to occur. But it could be delayed. We haven’t had any indication of that. But that is always a possibility.
Brian Drab - William Blair: And would you expect the gross margin on that project to be comparable to other larger QMB projects that you've completed in the past?
Rick Parod: Well I think the nature of that product line in those projects are that they are higher -- they are certainly higher margins than what we have in the rest of our business. We don’t comment on the specific margin rate, but it is higher than the rest of our business.
Brian Drab - William Blair: Sure. How about relative to other large like the Mexico City project or other QMB projects, would this be comparable to other QMB projects.
Rick Parod: It would be comparable to the range that we see. There is a range that we see within the QMB projects, so it's in that range. But I wouldn’t compare it to any particular project.
Brian Drab - William Blair: Okay. And given we didn’t have any large QMB projects in fiscal 2014, and we’re going to have in 2015 do you think that despite maybe some pressure on irrigation that gross margin on a consolidated basis could actually be up in fiscal 2015? Any comment on that?
Rick Parod: Certainly the QMB activity and what we’ve seen on the infrastructure business will help it. It's a little bit difficult to predict on the gross margin as a whole because it will depend a lot on the mix of the business and what happens in the U.S. markets because we do have higher margins there. So it’s hard to predict exactly how that will all flash out from a mix standpoint. And then I think the other piece is as Rick alluded to, we haven’t seen significant pricing pressure to date, but that will also, we tend to see that more in the selling season if we were to see it. So, it’s a little bit hard to predict exactly…
Rick Parod: I think I’d say that – I think to answer that in an affirmative way would take a lot more visibility on the what the next season looks like from irrigation standpoint. And we’re really just not there at this point.
Brian Drab - William Blair: Okay. And Jim, I think you just mentioned that, make sure I am clear that one of the pressures on margin next year – if domestic irrigation is down, your domestic business still carries higher margins in the international?
Jim Raabe: That is correct. The domestic business does carry higher margin. So, the mix of the business between U.S. and international does affect the gross margin.
Brian Drab - William Blair: Okay. All right, that’s all I have for now. Thanks a lot.
Rick Parod: Thank you.
Operator: Your next question comes from the line of David Rose from Wedbush Securities.
David Rose - Wedbush Securities: Good morning gentlemen. Thanks for taking my call. Maybe I can follow up on Brian’s question. If we think about next year, I think most assume given the backdrop that it would be very difficult -- and I think you’ve mentioned challenging for domestic irrigation sales to be up or I think even globally. Assuming then international doesn’t have the same pressure because its project related, doesn’t even imply that is more likely that margins would be down than up?
Rick Parod: Well, it certainly depends on mix. Some of the international projects can have a very good margin rate versus some of the – let’s say, sales that would be thorough typical dealer channel in some of the international markets where we don’t have as much vertical integration. So, there’s a number of factors that come into play. I would say that – I really couldn’t comment on what that would look like going forward for the next year, because it’s comprised of a number of factors. I am still very comfortable with what it looks like for the international markets. I think there’s a bit of uncertainty in how the Ag commodity prices will play out in affecting those markets today. But right now, the indications are still very strong in terms of the types of demand that we see in those markets. But, in terms of -- going beyond that, to give any kind of guidance on what the margins would -- what would happen with the margins over that mix at this point, we really couldn’t do that.
David Rose - Wedbush Securities: And maybe, going back to Brazil, the expansion that you highlighted, capacity expansion for international that’s largely Brazil and Turkey, are you consolidating the two locations in Brazil in Sao Paulo?
Rick Parod: We only have one location in Brazil.
David Rose - Wedbush Securities: The two buildings, are you doing anything there?
Rick Parod: Well, we have a couple of buildings on the same piece of property. We’re not really consolidating those. The primary reason for the acquisition was to be able to do some things in terms of vertical integration and adding more manufacturing functions and capacity and processes in our facility. And as we’ve talked about the past, our international plans are generally not very vertically integrated. So, we have a number of processes that are done outside by outside suppliers and there's a few that we’re looking at brining inside that would reduce the cost of the products and probably get margins in the – closer to the kinds of ranges we see in the U.S., not quite there yet. But this is the next step in our expansion of capacity, plus cost reduction process in the international market.
David Rose - Wedbush Securities: Okay. That’s helpful. And then, just two quick ones, used market, I think a lot of people been concerned about the impact from the used market of irrigation or center pivot equipment. Have you seen any impact on your business in any particular locations at all?
Rick Parod: Nothing, nothing that’s really visible from an impact standpoint. We have anecdotally heard comments about some used machines, I’ve heard comments that some of the storm damage machines were recovered and potentially rebuilt with some components to put on to the market. We haven’t seen any real evidence of that. I am sure that there is a bit of a market for used machines at all times. But, we really haven’t seen that have any impact on our business at this point.
David Rose - Wedbush Securities: Okay. And then lastly, FieldNET, can you provide some color in terms of percentage of mix that’s incorporating FieldNET or high level of technology, smart technology.
Rick Parod: I really can’t do that for competitive purposes. I would say that we’ve seen significant increase in FieldNET market penetration in the past year. We would expect to see more – we’re investing in expanding that market penetration. We believe it’s a great opportunity, but also customers who have used FieldNET become very dedicated loyal customers who really don’t want to give it up. And it’s a great tool for saving labor, saving water and for managing other system in general. So, what we’ve found is that the more that we can get market penetration, more customers we can get on FieldNET regardless of what pivot brand they use the better that is for us, and the more that they love it. So, we’re going to continue to expand the product line and the capabilities of the product and we will continue to expand our market penetration.
David Rose - Wedbush Securities: Okay, great. Thank you, I’ll get back in the queue.
Operator: Your next question comes from the line of Kevin Bennett from Sterne Agee.
Kevin Bennett - Sterne Agee: Hey guys, good morning.
Rick Parod: Good morning.
Jim Raabe: Good morning.
Kevin Bennett - Sterne Agee: First, you guys talked about a 3% to 5% margin decline from peak to trough that you usually see. Was that just from price -- when pricing gets competitive or was that -- what was that in context?
Rick Parod: It would be a combination typically of price, but also to some extent deleveraging, which could affect cost of goods sold.
Kevin Bennett - Sterne Agee: So that’s total margin?
Rick Parod: That would be a total gross margin change that we’ve seen from peak to trough is in that 3% to 5% range typically.
Kevin Bennett - Sterne Agee: Got you. That’s really helpful. Thank you. And then, you guys really give the breakdown in terms of repair/replace versus dry land, versus conversion, can you give us those numbers for the fourth quarter?
Rick Parod: Yes. That was an interesting quarter because of the storm damage machines. So, keep in mind that those had an impact and it would be categorized certainly as replacement. So, what we saw in the quarter was a replacement machines were 60% of the total. Machines going into dry land were 17% and machines for conversion of gravity were 23%. In a typical year, we’ve described in the past roughly about third split in all three of those categories and obviously varies where high commodity price we’d see much larger percentage in dry land. So, it was a pretty high replacement quarter primarily driven by the storm damage machines.
Kevin Bennett - Sterne Agee: Got you. That makes a lot of sense. On those machines, are you seeing like for like replacement? Or do you think you’ve had – you may have taken a little bit of share there?
Rick Parod: Well, what hear is that we’ve picked up some share, but I can’t say with fact, this is only information from our people is they believe that we’ve picked up some share, our dealers believe that we've picked up a little share.
Kevin Bennett - Sterne Agee: Got you. Good to hear. And then just, a couple of more quick ones, first, on the international market it looks if you back out Iraq from last year, total revenue was down about 3% on a year-over-year basis, was that kind of broad based across geographies or was there one that had more of an impact than others?
Rick Parod: I think one of the primary areas outside of Middle East because of the Iraq project would have been Russia.
Kevin Bennett - Sterne Agee: Okay.
Rick Parod: The decline in Russia and I think it’s understandable in two fronts, one is the situation that’s occurring there today, but the other is, it just tends to be project based. So it would be driven by a large project or two that could take place in the region and that’s primarily the other market where there was a difference.
Kevin Bennett - Sterne Agee: Got you. Okay, cool. And then, Jim, on the CapEx, you mentioned, I guess it’s some project – some projects got delayed, can you elaborate on that? And then maybe also elaborate on what’s in store for 2015? I mean, could you call out some of the projects that you’re looking at?
Jim Raabe: Sure, the – well, what I was diluting to was that in the third quarter we’ve lowered our estimate for CapEx for the year because we had had some projects delayed and that we were anticipating some delays. The Brazil facility acquisition was one of those projects that we thought was going to slide into fiscal 2015 but it did in fact completed in 2014. I think we’ll also lose to the fact that the Turkey – the plant in Turkey has also slit a little bit or at least we said that last quarter, it’s still on track now for basically around the end of the year. But, with regard to next year, we continue to work on productivity enhancements in our plant. We will certainly build out and complete the facility in Turkey. We always have some projects around productivity in our U.S. facility as well. Most of what we’re doing as we’ve said is capacity and productivity both in the U.S. but more significantly in the international markets and then we do have some CapEx in the infrastructure business with some of the progress that we’ve made there, we also expect to have some CapEx there. But, most of it is around productivity and capacity.
Kevin Bennett - Sterne Agee: Got you. So, no plans to build a new facility in any other country right now?
Jim Raabe: No.
Kevin Bennett - Sterne Agee: Cool. Okay, thanks. Last one from me on M&A, was just curious if your pipelines has changed much in recent months or if some things have progressed or just an update on that?
Rick Parod: I commented last quarter that our pipeline has been very strong recently. We’ve been very active in the M&A work and that still is the case. We’re active on a number of projects, we’re constantly in contact with a number and I would say it’s a very aggressive approach at this point.
Kevin Bennett - Sterne Agee: Okay. Great, thank you guys so much.
Rick Parod: Thank you.
Operator: (Operator Instructions) Your next question comes from the line of Richard Haydon from Tipp Hill Capital.
Richard Haydon - Tipp Hill Capital: Hi, this is kind of subjective question, but what level do you think grain prices would have to reach in order to encourage farmers to buy irrigation systems?
Rick Parod: That is a very difficult question to answer, I would say that it really varies depending on the crop that they’re growing, the part of the country that they’re in and where grain prices have been. Certainly if we were just talking about corn, we’ll see farmers buying irrigation equipment at the current corn prices without a doubt. As we’ve seen in the past as corn prices increase, we see that expand and I can’t say it’s a linear equation or a process, but we do see a continual expansion at higher prices. So, I can’t really tell you what that trigger point is, I do know that as we go out and talk to larger commercial growers or the larger operations they would consider irrigation at almost any commodity price because it’s the best method in terms of expanding their yield and boosting production. So, they look at it as almost a necessity in many cases. So, it really does vary by the crop that’s been grown, the region of the world that you’re growing in and the specifics in terms of either the farmer type or their experience in terms of what commodity prices have been. I know that’s not a very clear answer, but that’s how I would describe it today.
Richard Haydon - Tipp Hill Capital: Thank you very much.
Rick Parod: Thank you.
Operator: (Operator Instructions) At this time there appears to be no more questions. Mr. Parod, I’ll turn the call back to you for closing remarks.
Rick Parod: Thank you. While we’re in the midst of a cyclical downturn for the irrigation segment, the global long-term drivers of water conservation, population growth, importance of bio-fuel, the need for safer more efficient transportation solutions remain very positive. Lindsay is committed to creating value for shareholders through organic growth, dividends, strategic acquisitions and share repurchases. Thank you for your questions and participation in this call.
Operator: This does conclude today's conference call. You may now disconnect.